Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company Third Quarter 2014 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Today's conference call will include forward-looking statements. These statements are made on the basis of our views and assumptions as of this time and are not guarantees of future performance. Actual events or results may differ materially from these statements. So for information about certain factors that could cause such differences, investors should consult our most recent annual report on Form 10-K filed with the Securities and Exchange Commission, and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statement on forward-looking statements. The conference call will also include a discussion of non-GAAP financial measures, which differ from our results prepared in accordance with GAAP. We will discuss organic sales growth, which is net sales growth, excluding foreign exchange, acquisitions and divestitures. We will also discuss gross profit, gross profit margin, SG&A as a percent of net sales, operating profit, operating profit margin, net income and earnings per share on a diluted basis, excluding the impact of the items described in the press release. A full reconciliation with the corresponding GAAP measures is included in the press release and is posted in the For Investors section of our website at www.colgatepalmolive.com. Just a reminder, there may be a slight delay before the question-and-answer session begins due to the Web simulcast. Now for opening remarks, I would like to turn the call over to Senior Vice President of Investor Relations, Bina Thompson. Please go ahead, Bina.
Delia H. Thompson: Thanks, Rochelle, and good morning, and welcome to our third quarter 2014 earnings release conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; and Elaine Paik, Treasurer. And we're pleased to have reported another quarter of solid organic sales growth. As we all know, business conditions around the world are challenging. We, as others, have seen slowing growth in the emerging markets and continued heightened competitive activity in the developed markets. And the dollar has continued to strengthen in the face of economic uncertainty worldwide. And any economic recovery in the developed markets is muted and tentative at best. However, we think, our focused strategies still serve us well and are well-understood by all our people who are intent on winning on the ground. Innovation is as important as ever and you'll hear not only how new products have helped increase market shares but about more new products slated for the balance of the year. While a strong dollar along with higher material prices has resulted in a modest growth margin decline in the quarter, we continue to believe we will see gross margin expansion over the long term. Our Funding the Growth program is as robust as ever and is expected to deliver full year savings at or above our goal. And while our reported advertising is down as a percent of sales, if you look at the total bucket of commercial spend, it is up both absolutely and as a percent of sales, as impactful and trial-generating in-store activities have supported our robust new product activity. Our Global Growth and Efficiency Program is proceeding smoothly, and as you saw in this morning's press release, we've expanded the program to take advantage of additional savings opportunities, which we expect will begin to be realized towards the end of 2015 or early 2016. And we're seeing some encouraging trends in the markets of China and Brazil. While both these regions declined for the third quarter as a whole, we saw a reversal toward the end of the quarter, which we believe should bode well going forward. So as I said, a challenging environment, but we think we're well-positioned to meet these challenges going forward. So turning then to North America. Organic sales growth accelerated in North America from the second quarter and market shares are solid. Our excellent performance in manual toothbrushes was highlighted in the press release. One of the drivers was Colgate Optic White Toothbrush and Built-In Whitening Pen. This new product has generated good trial and strong repeat rates, ahead of not only our Colgate Optic White manual toothbrush but a competing brush as well. In the quarter, another significant launch was Colgate Enamel Health toothpaste and Colgate 360° Enamel Health toothbrush. While it's early days, results of the toothpaste have been very good. Our national share at the end of September was over 2%, and this result exceeded both historical competitive launches, as well as competitive launches in the third quarter. Importantly, the launch has added incremental share. Our overall U.S. toothpaste share is now 35.8% for the past 4 weeks, up 1 full point versus the year-ago period. This 35.8% share is also ahead of our year-to-date share of 35%. Since the second quarter, consumption growth has been ahead of category growth. In fact, for the past 4 weeks, consumption was up 7.6% versus the category growth of around 2.5%. A relaunch of our Colgate Total Advanced Whitening toothpaste has been accompanied by the launch of Colgate Total Lasting White mouthwash to take advantage of the power of a complete regimen. Colgate Total Lasting White mouthwash has an innovative formula that helps remineralize tooth enamel, prevent stains and fight tartar and has no burn of alcohol. Our overall mouthwash share in the U.S. is now at 6.5% year-to-date, up 120 basis points. To continue this momentum, we're launching Colgate Kids mouthwash. This is an opportunity to reinvigorate the kids mouthwash segment with a brand mothers trust. Distribution of the product is building at key retailers as we speak. Of note also is our share in fabric conditioners. The Suavitel brand is, as you know, largely sold in Hispanic markets and has now reached a record 18% share of the general market year-to-date, up 130 basis points. Innovations such as Suavitel Fast Dry has contributed to this success. Turning then to Europe/South Pacific. This region delivered solid results. Organic sales have increased every quarter this year and this despite ongoing macroeconomic pressures. Innovation continues to be an important driver of our performance. As you know, 1 of the key elements in our global growth and efficiency program is the formation of hubs, and much of the hubbing to date has occurred in Europe. As of July, all European hubs have been implemented. Central Europe West, Central Europe East, Southern Europe, U.K., Nordic and Western Europe. These streamlined operations should further position us to effectively win on the ground. Our oral care market shares are strong. In toothpaste, our regional share is at 35.3% year-to-date, up almost a full point from the year-ago period, with the most recent reading at 35.4%. The results were broad-based with increases in virtually every hub. Our regional manual toothbrush shares are up a full point year-to-date to 23.5%, with the most recent reading at 23.8%. Mouthwash is at 17.9% year-to-date, up from 17.8% in the year-ago period. Our Sanex business is also performing well across its categories, with share increases in body wash, liquid hand soap, bar soap and underarm protection. This year, we relaunched our Sanex body wash, which contains the advanced Dermo Active 3 complex to deliver the 3 key benefits to keep skin healthy, protection, deep moisturization and pH balance. This has helped to strengthen Sanex's credentials in moisturization, and elevate the product's quality perception. We talked last quarter about the rollout of Colgate Maximum Cavity Protection plus Sugar Acid Neutralizer, hereafter to be referred to as Colgate Maximum Cavity Protection. And that has continued with the launch of the product in France in September. Italy is scheduled for October, and Central Europe East for November to complete the rollout. A notable performance is in the U.K., where the market share is almost 4% in the latest period. Also in the U.K., we entered the electric toothbrush market 2 years ago. The initial offering, the Colgate ProClinical C350, was at the higher priced end of the market. So this month, we're launching a lower priced version, Colgate ProClinical C250. Around 75% of the market is priced at this price point, so this launch should make us more competitive in the marketplace. Turning then to Latin America. Business is strong across the region and, as referenced in the press release, we continue to maintain strong leadership positions in toothpaste and manual toothbrushes. As elsewhere, the regional rollout of Colgate Maximum Cavity Protection is meeting with success. In Brazil, where it has been in market for about 1 year, it has achieved a 2.2% share year-to-date. In Mexico, where it was more recently launched in April, it's achieved a year-to-date share of 1%, with the most recent period at almost 2 points. The product has now been launched in virtually every country, with only Peru, Ecuador, Bolivia and the Caribbean region remaining. Other toothpaste innovations, such as Colgate Total Breath Health and Colgate Luminous White Instant, which we described to you last quarter, are also being rolled out throughout the region. Compelling innovation in manual toothbrushes has resulted in record high leading shares in Brazil, Chile, Puerto Rico, Uruguay and Paraguay. In bar soaps, our market share is up 40 basis points to almost 30% year-to-date. Across the region, Protex and Palmolive hold the #1 and #2 positions, respectively. A steady stream of innovation in this category has helped increase market shares. A recent relaunch is Palmolive Naturals Daily Exfoliation with oats and brown sugar. Consumers know that it is important to exfoliate the skin. Its formula with brown sugar and natural oats provides a gentle exfoliation for beautiful and smooth skin. Turning then to Asia. As noted earlier, we've experienced slowing category growth in inventory correction in China, which has affected overall growth despite a very strong performance in other markets. However, this situation appears to be improving, as we said it would on our last call. Despite the external challenges, we've continued with our innovation program. As elsewhere, Colgate Maximum Cavity Protection toothpaste is meeting with success. Launched in Malaysia in February of this year, it has now reached almost 4 full share points in the most recent period and has added incremental share. Our toothpaste share is now at 73.5% year-to-date. In India, where our share is up 30 basis points to 54.6% year-to-date, our May launch of Colgate Maximum Cavity Protection toothpaste has already achieved almost half a share point in the most recent period. And across the region, our manual toothbrush share is up 50 basis points to 30.4% year-to-date. In India, our key brand, Colgate Super Flexi, has driven the overall toothbrush share up 210 basis points to 43.7% year-to-date, with the most recent share at 43.9%, consolidating our leading position. And in mouthwash, our regional share is up 140 basis points to almost 22% year-to-date. Looking forward, we have more innovation to come. One interesting new product planned for launch in China in the fourth quarter is Colgate 360° Gold Charcoal toothbrush. As you know, some consumers are very interested in charcoal as an ingredient, but a new trend, which has also emerged with the Chinese consumer is gold. This toothbrush in addition to having gold-colored bristles and charcoal-infused bristles will also have an antibacterial component within the bristles. And in addition, the product should be very impactful on the shelf with its black and gold packaging. Also in the region, we're very excited about our recent acquisition in Myanmar of the laser toothpaste business. Together with Colgate's 20% share, the added 35% share of laser gives us a strong leadership position in this rapidly evolving country. Turning then to Africa/Eurasia. Business remains healthy in this part of the world and we were particularly pleased with the solid volume growth in both Russia and the Ukraine, despite all the political turmoil in that part of the world. Regional toothpaste shares year-to-date are at 32% even with the year-ago period, but our most recent reading is 32.3% and we see good momentum building behind our continued stream of innovation. Colgate Maximum Cavity Protection toothpaste launched in South Africa a year ago, is just the beginning to be rolled out throughout the rest of the region. And in toothbrushes, we've had excellent results in the South Africa where the share is up 3 points to 37.7% year-to-date, with the most recent read at 38.3%. Similarly, in Turkey, where our year-to-date share is 28.4%, we've seen share momentum in the 2 most recent periods, which share reads of 28.9% for May-June, and 30.5% for July-August. Our regional mouthwash share is up 50 basis points to just over 20% year-to-date, positioning us as the #2 mouthwash brand across Africa/Eurasia. In Russia, we continue to benefit from the launch earlier this year of Colgate Plax Altai Herbs. Our share is up 220 basis points to 27.7% year-to-date. Results for the shower gel category is strong, fueled by our Palmolive Gourmet Spa line. Our year-to-date share is at 22%, up 160 basis points, with almost every country contributing to the positive share and momentum. As elsewhere around the world, innovation will continue. Colgate Total Pro Whitening toothpaste, which provides 12-hour protection for a healthier mouth and whiter teeth, now selling in Russia, Ukraine and Turkey, will be rolled out to additional countries in the region in the fourth quarter and next year. Another pan-regional launch starting this quarter will be Colgate Total Mouthwash, which should help build on our already strong mouthwash business. And in the personal care category, we'll extend our very successful Palmolive Gourmet Spa shower gel line into liquid hand soap. Finally, Hill's. The Hill's business is solid as new product activity across our brands has delivered good results. Hill's Ideal Balance is now selling virtually everywhere in the world. Here in the U.S., both the dog and cat wet and dry products have been well-supported by the super stores. In those channels in the quarter, consumption of Hill's Ideal Balance was up almost 40% versus the year ago period. The launch is going well in Europe as well and is being supported by a fully integrated marketing campaign. Our Hill's Science Diet business in the U.S. is being supported by a Healthier Pet, Happier Lives national campaign, which is focused on preventative care to drive our new Life Care portfolio of diets. For the year-to-date period, our consumption is up 15% in our 2 largest retailers. In the weight category, both the Hill's Prescription Diet Metabolic line and the Hill's Science Diet Perfect Weight line are doing well. And next quarter, we will be adding a new variant, Hill's Science Diet Perfect Weight for small and toy breed dogs, the fastest-growing pet population. The recent global launch of Hill's Prescription Diet CD Multicare Urinary Stress feline, supported by an extensive sampling program and in-clinic feeding trials is also helping drive Hill's therapeutic business. And finally, we're really excited about our latest innovation, Hill's Ideal Balance Crafted, expected to launch next quarter. Capitalizing on the growing trend of the humanization of pets, this superpremium price product offers authentic ingredients prepared the right way with care and is crafted in smaller batches to help lock in the flavor. The unique ingredients such as salmon, fresh vegetable, chickpeas, buckwheat, shroud and herbs are customized for dogs and cats. The compelling packaging reinforces the product's attributes. So in summary, we're pleased that our businesses continue to grow our around the world. Our focused strategies are serving us well. Our new product pipeline is as full as ever, and a broad array of new products launched globally have helped increase our leadership shares in many markets. We are providing our Colgate leaders worldwide with the tools to keep winning on the ground. We look forward to sharing our results with you as we move to the end of the year. And now, Rochelle, we'll turn it over to questions, if we could, please.
Operator: [Operator Instructions] And we'll take our first question from Dara Mohsenian with Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley, Research Division: So first, just a clarity question. What level of organic sales growth and FX impact is implied in your 2015 earnings guidance? And the real question is, Brazil and China, clearly weak in the quarter. Obviously, Bina highlighted that trends improved at the end of the quarter but we had heard some hope. I think, last quarter the Q3 trends would improve, which didn't play out as much. So I just was hoping for a bit of a state of the union on what's causing pressure in Brazil and China, if those factors kind of linger going forward and how much visibility you have here that your business has bottomed in those markets?
Ian M. Cook: Yes, thanks, Dara. Well, let me take a little bit of a step back on the world and our categories and include China and Brazil in those comments and then take you forward to 2015. Let me start with the developed world where, I guess, we have been saying for a time that our category growth rates are in the 1% to 2% range, with Europe being at the lower end of that range and the U.S. now creeping up to the higher end of that range and that hasn't really changed. When you then turn to the emerging markets, as we have said on the last couple of calls, we came into the year from a 2013 where the growth rates were between 6% and 8% and said that the growth rates were now likely to be between 5% and 7%. And on the last call, we said that those growth rates had decelerated to the lower end of that range. And what we have seen is that during the third quarter, that has continued to be the case. In other words, those headwinds have not reversed. Now very specific to China, on the last call, we described and explained how the combination of the deceleration in consumer consumption led to a destocking of the extended distribution system in China through distributors and wholesalers and that we thought that would correct itself in response to a question, if I recall, within 60 to 90 days. And somebody said, well, does that mean the China business will come back from a Colgate volume point of view towards the end of the third quarter? Now many of us have just come back from an extended trip to Asia and I'm pleased to say that is precisely what has happened. In other words, while China for the quarter remains modestly negative, what we saw in terms of independent offtake data is consumption at about mid-single digits and the destocking working itself through the system. So as we finished the quarter, our volume was now servicing again that mid-single-digit rate of consumption. And at this point, we would say we expect that to continue. Brazil is China redux except a little bit later. I think, frankly, we were planning for a recovery following the World Cup and that didn't occur. The category growth rates repeated what we saw in China. And the inventory destocking also compounded against that reduced consumer consumption level. And again, as Bina has said, we have begun to see that come back in Brazil, with the category growth rates now in the mid-single digits. But it started a little bit later in Brazil. So it will be a little bit into the fourth quarter before it fully comes back. Pleasingly, in both cases, the consumption, which is to say what consumers are buying, continues to be at that mid-single-digit level. So for 2014, we think it prudent to say, with all of that in the mix, that our view on organic top line growth is now broader. We're saying between 4% and 7% for the year because we think that's prudent. And as we said on the release, we really have just started our 2015 budgeting process. But based on the information we have today, we think it would be prudent to likewise say that our organic growth range for 2015 will be in that 4% to 7% range.
Operator: And next, we'll move to Chris Ferrara with Wells Fargo.
Christopher Ferrara - Wells Fargo Securities, LLC, Research Division: I guess, Ian, taking that 2015 commentary to EPS, it sounds like, based on where spot rates are today, I think, your '15 EPS preliminary outlook sounds like it would imply your healthy double digit EPS growth into 2015. And I guess, correct that if it's wrong, and if it's not, can you just talk about why you feel that level of confidence, especially with some of the macro trends that are going on out there?
Ian M. Cook: Well, in fact, Chris, thanks for the question, the EPS growth rate for next year, we have tried to be quite specific in guiding to mid to high single digits in dollar terms, not double digits. And that reflects the recent foreign exchange deterioration which, as you know, was very sharp and towards the end of the third quarter and when one goes through the various investor notes that have been written about the business, many people have come to a like conclusion in terms of what they see dollar EPS growth being. So as we said in the release, we're expecting another year of growth. And having been asked the question, we would frame it as 4% to 7% organic. We talk about expansion of the gross margin. And as we go through our budget process, you would imagine that our target continues to be that 50 to 100 basis point expansion and mid to high-single digit EPS growth in dollar terms. And that's the way we're framing and approaching 2015.
Operator: And next, we'll move to Wendy Nicholson with Citi.
Wendy Nicholson - Citigroup Inc, Research Division: Could you talk a little bit more about the non-China markets in Asia because -- I mean, if I'm not mistaken, I think, China's only kind of like 20%, 25% of that region, and for the overall organic sales growth to be up only 1%, it still sounds like there's real weakness in the other markets. I know you called out India as being strong actually. So what else is dragging down the numbers, is it the Philippines or Malaysia, like what else is big enough to move the needle there?
Ian M. Cook: That part of the world is heavily influenced by China and India. And when Bina said India was strong, India was strong. And the Southeast Asian countries generally performed very, very well during the quarter. So it really is China and the correction of that Chinese business back to, I stress, this underlying mid-single-digit consumption rate for consumers.
Operator: And next, we'll move to Jason English with Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: Again, a couple of questions on what's going on in a few markets. Let's pick up where you left of on the last one on India. India is strong. I guess, the question is what's strong in India? When we look at some of the Nielsen data out of India, it shows volume decelerating throughout the quarter. At least into July, August now reaching almost down 6% for the category for toothpaste specifically. So I guess, where is the offset or is it just potentially a problem with the data? And then, secondly, we've heard Nestle, we've heard Unilever talk about some of the pricing problems or challenges throughout Europe. You've got another quarter reported here of negative price and promotion. So maybe you can comment a little bit more on what you're seeing in terms of the competitive dynamics and pricing environment throughout Europe?
Ian M. Cook: Well, let's take India first. Without getting into specifics, we have seen consistent double-digit growth in India every quarter this year. We continue to build their market share on toothpaste and on toothbrushes, our leadership market shares. I would also add by the way, with that independent study that happens every year in India, for the fourth straight year, Colgate was voted the most trusted brand in any category in India, which gives you a sense of the consumer loyalty and affection for the brand. One thing we've been doing for a while in India is expanding the strength of our distribution in the rural areas. And I would venture to say, Jason, that when you start getting to that level of distribution without in any way impugning Nielsen or other data sources, the quality of the data becomes perhaps a little bit suspect. In Europe, actually, we were pleased with Europe. There is no question that pricing has become, for some retailer, in some cases, competitor, and other, an approach, a tactic, I guess, to try and build overall growth. So we were pleased to see the volume growth we had in Europe and indeed the modest organic growth along with good-sized margin -- gross margin expansion delivering goods financial results there. And as Bina said in her comments, and I think we have taken this view for some time now in Europe, I think, we are clear-eyed about the growth rates that can be expected there and we have put an extraordinary focus on reorganizing our European business to make it structurally efficient against a flat line growth rate. And I think, we're seeing the benefits of that. And we're also seeing market shares improve, as Bina mentioned in her prepared remarks. So this hubbing that we have moved to in Europe is working very well for us against 1 of the objectives we had, which was to strengthen our executional capability on the ground.
Operator: And next, we'll move to Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Can you just talk about the Colgate Total growth in the quarter and if this triclosan nonsense is done? And then, I do have a follow-up.
Ian M. Cook: Yes, it was done, Bill, until you raised it.
William Schmitz - Deutsche Bank AG, Research Division: No one listens to me I promise.
Ian M. Cook: The share is flat. You may have seen Javier's [ph] note where they ran an independent survey, I think, with 2,500 people, which basically suggested that the awareness was vanishingly low. In fact, lower than other ingredients in toothpaste products. And obviously, as you would imagine, we have like tracking data which shows the same thing. So it is a non-issue. Your follow on?
William Schmitz - Deutsche Bank AG, Research Division: Ian, I just wanted to ask you, is the destocking all done globally now? And do you think the U.S. is like really pulling out? Some of the data points, it seemed like the U.S. is really starting to accelerate in the last month or so.
Ian M. Cook: Yes, let's not get too excited. I think, the U.S. is showing modest acceleration. But these things have tended to be lumpy. But I tried to imply that in my remark on category growth that we are indeed seeing the U.S. upshift towards the higher end of that 2% range. On the destocking, given the vastness of the 2 geographies and the indirect nature of the distribution, China, which we talked about in the second quarter, we believe on the data we see is done, was done by the end of the third quarter. Brazil is on the way to being done and that will be completed during the fourth quarter. There are no other spots of destocking.
Operator: And next, we'll move to Ali Dibadj with Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: I want to get a better sense of why you believe that you can go back to double-digit dollar base earnings growth long term, because you haven't done in the past 5 years or so, including this year. And I guess, another way to ask the question is what do you need to get back to that target? And if your answer is macro and FX, then how should we all think about your level of defensiveness and indeed the whole industry's level of defensiveness and macro insensitivity versus history?
Ian M. Cook: Wow. I haven't finished Picasso's book yet so I'm not sure how to answer the question. I think, Ali, the way to think about it perhaps would be on a relative basis. I mean, I think, for the last several years, we have seen things happening in our world that have been truly unusual and volatile events. Many of them having implications both in terms of consumer purchasing behavior and fundamentally foreign exchange, as people run from risk to perceived safety and they impact companies severely in the short term. So while we return to a better macro environment and a more stable foreign exchange environment, I guess, the way to think about it is on a relative basis.
Operator: And next, we'll move to Steve Powers with UBS.
Stephen Powers - UBS Investment Bank, Research Division: Going back to China and Brazil, I guess, one question on China and Brazil and then sort of an unrelated question, if you'll entertain it, on Venezuela. First on, just on the volume declines in China and Brazil, are you able to parse out at all how much of those declines were true unit declines versus negative mix and trade down, because I can see how the unit volumes could reaccelerate substantially and sustainably with inventory rebalancing but a trading down trend or less trade-up anyway might be harder to overcome without macro relief. And then, on Venezuela, it would seem that you're now running the risk of operating at a loss, maybe a material loss in that market with this latest devaluation. Although I know, in your Q, you've got some price relief that's come through, which is good. So I'm trying to balancing those 2 things out. Will Venezuela now be running at a loss? And if so, can you frame for us how far you're willing to go in incurring losses in that market because it's hard to see how things get better before they get worse at least from a currency perspective.
Ian M. Cook: Yes, I mean, to answer the Venezuela question first, Steve, we're not running at a loss. I think, Venezuela is about 3% of the company's sales and about 1% of the company's operating profit. And as you rightly observed, I think we mentioned on the last call that we felt we had been in very constructive discussion with the government relative to pricing. And indeed, we were granted pricing basically across our portfolio in Venezuela, which won't actually move to the marketplace meaningfully until the fourth quarter and will modestly improve our position there. So indeed, we view that as a positive, and certainly, we'll not see Venezuela in a loss-making position. In China and Brazil, we run a dollar-weighted volume anyway. From our reporting point of view, when we look at the information we have from independent trade surveys, we can track that, whether you look at volume or value. The destocking, as I said earlier in China, is now through. And we are back to meeting consumption with our shipments. And in Brazil, it is in like fashion working its way through the system and will be completed in the fourth quarter. It really was the distribution system catching up to the succession of consumer slowdowns but that consumer consumption now seems set mid-single digits and now our shipments are coming back to that.
Operator: And we'll move on to Olivia Tong with Bank of America Merrill Lynch.
Olivia Tong - BofA Merrill Lynch, Research Division: Can you talk about what's driving that 50 to 100 basis point gross margin acceleration next year when presumably, FX and raw materials are still a drag, at least in the first half, and it sounds like incremental savings don't start kicking in until later in the year and then maybe this is an opportunity to also give the gross margin bridge for this quarter?
Ian M. Cook: I was wondering when somebody would do that. Okay. Let's start with the gross profit roll-forward. So last year, it was 59. In this quarter, we pick up a 50 basis point benefit from pricing. Between the restructuring program and our Funding the Growth savings, we pick up 230 basis points, essentially in line with last year. Material prices sequentially worsened from the 2.5 basis points negative -- 2.5 point negative in the third quarter to 3 and you've got 20 basis points of mix, et cetera, and that brings you to the current year at 58, 640 basis points down. Now if we take that and look forward, first thing to say, our Funding the Growth program remains strong. Secondly, our restructuring program remains strong. Third, given the timing of pricing that we took in the third quarter and the Venezuelan price increases, we are now realizing in the fourth quarter, we expect pricing to be a more significant component of offsetting the material price headwinds. Looking forward, again, we have not finished our budgeting process. But in terms of some of the underlying commodity costs, one would say that there are emerging signs of weakness. And one would also say that in terms of oil, even though there is a lead lag before you get the full benefit of that, we have gone into our budget with a $100 assumption and we know where oil sits today. So it will be a combination of the funding the growth where material prices really end up after we have been through the diligence of our budgeting and pricing.
Operator: And Caroline Levy with CLSA will have our next question.
Caroline S. Levy - CLSA Limited, Research Division: I wonder if you could elaborate a little bit on Europe? And there's been some upheaval in the retail environment there. And is any risk of inventories getting stock in the system there and what are the risks you still see going forward in Europe?
Ian M. Cook: Yes, I think, the risks are pretty much out there for all to see. I'm not sure retailer-specific will be an issue. I think, I know the retailer to whom you are referring. But we have, in those kind of environment, all sorts of checks and balances in terms of inventory against consumption. And I think it highly unlikely that such a situation would arise in the European environment.
Operator: And we'll move on to Connie Maneaty with BMO.
Constance Marie Maneaty - BMO Capital Markets U.S.: A follow-up on Venezuela. Is the pricing you're getting in the fourth quarter, do you view it as a onetime event or do you think the ability to price to offset inflation is coming back? And then, because of the pricing, will the impact of the devaluation in 2015, assuming rates stay the same, be lower than the $0.03 you're expecting in the fourth quarter?
Ian M. Cook: We -- I will offer nothing on 2015, Connie. We really have not got that far at all. And all I can say about the pricing we have received is that the government provided specific direction as to the categories that we were permitted to take pricing in and indeed what the level would be by category and by size within that category. So I think, it would be perhaps naïve to assume that, that would allow companies to take pricing as they wish. And I think, any future pricing would be, likewise, a similar discussion with the government. So I don't necessarily view it as a onetime, but I don't view it as opening the door to companies taking pricing at will.
Operator: And next, we'll move on to Alice Longley with Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: I have a couple of follow-up questions on China. You said that demand is growing mid-single digits and I guess you expect your shipments to start growing at that amount -- at that rate starting now. Does that include online sales? And could you also tell us what percentage of your sales there now are online and give us some sense of how quickly that's shifting? And also, how much of that growth is price? And then, finally, I'm just wondering whether the shift to online could be 1 of the reasons that there was an inventory issue. Maybe there was too much inventory in 1 channel versus this other channel that's growing faster?
Ian M. Cook: So to respond Alice thanks for the question, yes, the consumer offtake has returned to that mid-single digits level. And yes, our sales are now servicing that level of consumption. So we saw that in the last month of the quarter. And it would be fair to say that's what we expect going forward. Relative to online, I know in some categories in China, online is a large and fast growth segment or retail environment. But in our business, it's not so. We are represented, but the amount of business done online in our categories is de minimis and I don't think would have in any way, affected the trade destocking. And as we look forward to 2015 in terms of the balance between pricing and volume for a country, again, we haven't finished our budgeting process and I probably wouldn't say anyway.
Operator: And we'll move on to Lauren Lieberman with Barclays.
Lauren R. Lieberman - Barclays Capital, Research Division: Just wondering if you could talk a little bit about the advertising and commercial investment mix because Bina pointed out in the prepared remarks that the total basket of spending was still [indiscernible] and advertising was down. So what is your, I guess, plan for that over the next couple of quarters? Was this in somewhat reactionary to the more competitive environment in the U.S.? But is it really -- is that the same around the world? If there's a bit more in-store promotion going on versus advertising? What were some of the decisions made and how I guess not permanent but how sticky do you think they'll prove to be?
Ian M. Cook: If I sort of take a 20,000 view around the world, 20,000-foot view around on the world, we have seen in many markets competitors reduce their advertising weight in market and shift spending to price promotion or coupon-driven promotion, perhaps in the quest for short-term volume. You have no choice at some level but to respond to that. So part of it is that. Part of it, as we have said for a long time and we must find a way of being more articulate about it, but part of it is structural in terms of the way you engage with consumers. With the techniques we have today, in-store engagement, the sharper marketing we talked about with consumers, which often comes out of trade spending, can be a very effective way of building trial for a product. So some of it is a conscious shift to techniques that we know work when you can target particular consumers in different retail environments. And as we think forward, our preferred view, as we have said before as well, is that we believe in driving growth, particularly when markets are growing less fast through innovation and innovation supported by advertising that generates trial, not price promotion. And therefore, our planning assumptions or our thinking going forward is that we would see that traditional below-the-line advertising come back. But we would not let ourselves become disadvantaged tactically as time unfolds. But our preferred model is innovation-led advertising, supported with quality execution on the ground that makes your product irresistible in store. By your product, I mean our product.
Operator: And we'll move on to Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: Ian, a little bit of a follow-up to Lauren's question with regards to trader spending and couponing and all that. Do you think that -- are you getting -- now that you shifted more toward trader spending, are you getting the volume lift that you hope or not? And if you did, are you -- are we going to see more of flattish advertising versus trader spending? And related to that, also to what extent -- what are the issues you see that market share gains have slowed, either because Unilever is no longer losing as much share in toothpaste and Procter is more aggressive in some of the key markets like China and Brazil?
Ian M. Cook: Yes, where to start. The -- I think, it's fair to say that the adjustments we made and I think we've talked at the beginning of the year about Mexico and the U.S., as Bina has commented, have been effective in rebuilding our market share. And that was something we believe we had to do in the face of the competitive activity. We don't see that as a permanent strategy and I would come back and say innovation-led, advertising-supported but irresistible in store is the way we would think about prioritizing our spending. In terms of the share discussion, you'd kind of have the go around the world. Suffice it to say, you mentioned China, I would say, in China, we have approaching a 34% market share in China, and both our principal multinational competitors are seeing share decline. And so from an aggression point of view, honestly, we aren't seeing it. And we're not -- we're certainly not seeing it in the market share. So it's a market-by-market thing. And in Mexico and the U.S., it was an adjustment we made. But if you take the world, our preferred approach is innovation, advertising-supported, irresistible in store.
Operator: And we'll take our final question from Mark Astrachan with Stifel.
Mark S. Astrachan - Stifel, Nicolaus & Company, Incorporated, Research Division: I wanted to talk about your expectation for 4% to 7% sales growth for 2015 in the context of lapping China and Brazil destocking, and now the commentary about pricing coming in Venezuela. So it would seem a bit like growth should be better next year relative to this year. So I guess that they're both sort of the same but how much of that is conservatism, how much of it is an assumption about category growth somewhere going up, going down. Maybe just any other color you could give sort on the underlying expectations for next year would be helpful.
Ian M. Cook: Yes, 4% to 7%, Mark, allows it to get better. But I think, just based on everything you see in the world today, it seemed prudent to widen that range a little because who knows what next year brings. I think, when we speak again after our fourth quarter and we would have been through our budgeting process, we will be in a far better position to perhaps give a sharper guidance at that time. So I think, this brings the call to a close. I thank you all for joining us. Thank you very much for the interest in the company and the questions you always have. And thank you, again, to all those Colgate people who may be listening. We value the work you do. Goodbye.
Operator: And that does conclude today's call. We thank you for your participation.